Wei Ching: Good morning to those in Europe. Good afternoon to those in Asia. Welcome to Jinhui Shipping and Transportation Limited Q3 2025 results presentation. I hope anyone -- sorry, I mean everyone can hear me. If you cannot, please, let me know on the message, on the chat. It seems like everyone can hear, no complaints on the audio. I trust that all of you have got the results announcement as well as a copy of the presentation. If not, please just look at the screen. Going through the Q3 highlights. Revenue for the quarter USD 40 million. Earnings before interest, tax, depreciation and amortization, $17 million. Net quarter -- sorry, net profit for the quarter $0.08 million. Basic earnings per share $0.001. For the 9 months into 2025, Revenue for the 9 months period, USD 120 million, EBITDA of $67 million. Net profit for the period USD 15 million. Basic earnings per share $0.139 and the gearing ratio as of end September 2025 2%. If we look at the Q3 2025, the revenue has dropped 11% relative to Q3 2024. I think it's a combination of both a weaker freight rate compared quarter-on-quarter as well as we have been selling off some ships. In preparation for the new buildings that we have ordered. I think you can see that. Net profit is down to $0.08 million. Some of the bookings of -- when we sell off these new buildings, we have to book at a loss because on our books, the asset value has -- were high and we have decided to sell them off. So it's a noncash flow item, but we have to mark the loss. Average TCE is down 4% Q3 2025 relative to Q3 2024 as well. Overall 9 months into the year highlights, it show a better picture. Revenue is up 4.6%, so 9 months 2025 is USD 120 million compared with same period last year, $114.7 million. Net profit down is USD 15.2 million compared to same 9 months 2024, it's down $3.6 million, average TCE 9 months 2025, $13,878 relative to $14,446 down 3.9%. There is nothing astonishing about, this is just some of our ships will be on spot and the market goes up and down, there's some volatility is nothing alarming from our perspective. The group reported consolidated net profit of $0.08 million for the third quarter. Charter revenue declined 11% to USD 40 million, mainly due to a reduced number of owned vessels. For the first 9 months of 2025. The group reported consolidated net profit of $15 million and chartering revenue increased 4.6% to USD 120 million. To stay competitive in the market, we focus on enhancing and adjusting our fleet profile. So during the 9 months, we entered into agreements to dispose of 6 aged Supramaxes at a total consideration of USD 63 million and 3 Ultramaxes shipbuilding contracts of $33 million each. 5 of the old sold Supramaxes were delivered to the purchases and incurred an aggregated loss of $6.2 million on disposal during the first 9 months of 2025. Shipping related expenses for the current quarter decreased to $21 million, down from $24 million in Q3 2024. This reduction was primarily due to a lower number of owned vessels as well as a decline in hire payments for chartered in vessels. Hire payment on short-term leases amounted to $2.6 million during the quarter, compared to USD 8 million in the same period of last year. The daily running costs of owned vessels increased from Q3 2024 of $5,302 to Q3 2025 of $5,750, mainly from increase in crew costs and expenditures of spare parts and vessels, driven by an increase in operational demands and the need for maintenance to ensure optimal performance. As a rise in finance cost as well, mainly attributable to loan drawdown for financing of vessels upon deliveries from second half of 2024 to first half of 2025. CapEx of $3.2 million incurred for the current quarter, mainly for dry docking costs and vessel improvements. As of the end of September 2025, our total secured borrowings increased to $126 million, with current portion and noncurrent portion of USD 11 million and USD 115 million. The rise mainly was due to the sale and leaseback arrangements the group entered into for 2 owned vessels for the amount of $28 million. Other borrowings were denominated in renminbi, offshore. These -- I'm talking about these other borrowings as in the $28 million sales and leaseback. I think it's not a bad timing, denominating in renminbi because of the exchange rate, we can -- is in our advantage given the U.S. -- the Hong Kong dollar is pegged to the U.S. dollars. Financial highlights for the quarter and 9 months ended. I think this is fairly self-explanatory is -- so I'm not going to details, if you have any questions, please shoot afterwards. As of Q3 2025, our total assets has increased from previous quarter, USD 514 million to USD 571 million plus. Total equity has increased from $367.5 million to $383 million almost, rounding it up USD 383 million. As explained in the total borrowings has increased in Q3 2025 to USD 125.5 million. But as a result of disposing our older tonnages, we have replenished our liquidity. The current ratio is 3.03:1. The gearing has further dropped to 2%. Available liquidity, $116.4 million. Return on equity, $0.02 million. We are replenishing our liquidity, lowering the gearing, of course, because we do have CapEx going forward. So part of it will be for payments for our new building program and beefing up our war chest would allow us to further look for renewal opportunities. There's no particular plan. We have always viewed the shipping market as very volatile, and we need to tread carefully, but we need to get ready. So we are preparing a war chest to remain flexible and nimble should opportunities arise. During Q3 2025, we completed disposals of 4 Supramaxes, total consideration amounting to $44 million. In addition, another Supramax was disposed in August 2025 and reclassified to assets held for sale as at end of September 2025. This Supramax will be delivered before end of December 2025. To sum up, the group entered into agreements for the disposal of 6 old Supramaxes a total consideration of USD 63 million. 3 Ultramax shipbuilding contracts of $33 million each for the period ended September 2025. As at 30th of September 2025, 29 vessels, of which 21 owned vessels, including the 2 under sale and leaseback agreements, and 1 which has been disposed of and reclassified under assets held for sale and 8 chartered in vessels with total carrying capacity of 2.2 million metric tonnes. Subsequent to the reporting date, the group entered into agreements to dispose of 2 Supramaxes with consideration of $13.2 million and $10.3 million, respectively. I think again, this chart is for your reference. From our recent actions, I think it should be fairly apparent that we are taking the opportunity of a very compelling global fleet profile, where they are already in quite a significant proportion of old vessels, especially in the Supramax/Ultramax space. And they will reach -- quite a good proportion of it will reach over 20 years old in going forward. And we see this as a good opportunity to go on a renewal program. The chartering market is also fairly robust. So this also gives good support to secondhand vessels. And of course, coinciding with the fairly strong interest in old tonnages. So I think it's a pretty good timing to monetize some older vessels. And put on and purchase some new buildings to -- it's a little bit like refreshing our fleet, our assets has also started with a pretty clean slate. You would have noticed that in some of the older vessels, where we have sold them, they need to book at a loss. This is because it was -- these were ordered at fairly high price in the previous cycle. So this is the reason why we are being very, very careful and need to look carefully and opportunistic when it comes to buying a new -- ordering new buildings. This is the list of our owned vessels, should be self-explanatory. We expect this age profile, average age will decrease as our new buildings get delivered going forward. And this is the list of chartered-in vessel. So for long-term, we have chartered in 1 Capesize, 2 Panamax and 2 Ultramax. We have also short-term chartered in 1 Ultramax, so total 6 chartered-in vessels. In order to have a healthy debt maturity profile. We have done some work further. So out of the USD 126 million of interest-bearing debt, 8% will be repayable within 1 year, 9% will be repayable within 2 years 83% will be repayable within 3 to 5 years. We will, of course, continue to monitor this debt profile. For shipping, the nature of our assets is very long term. So we will stretch this maturity profile whenever we can and whenever it's beneficial to our balance sheet. In terms of cargo mix, 60% of the cargo that our ship carry, our vessels carry is minerals, 16% coal, 6% steel products, 5% agricultural products, 2% cement, 1% fertilizers and 10% various other cargoes. In terms of distribution of cargo, in terms of where we load our cargoes, we have 29% of the cargoes are being loaded in Asia, excluding China, 20% in China, 15% Australia, 26% from Africa, 9% in South America and 1% North America. In terms of discharging 44% of the cargoes are destined for China, 28% in Asia, excluding China, 13% Africa, 2% Australia, 3% Europe, 8% South America and 2% in North America. You would notice that we -- throughout all these years, we have been not very active in the North American ports. In light of the current trouble or difficulties, I would say, I would -- maybe I should use the word, due to geopolitical conflicts, I think we will continue to -- our current business mix to -- I think we are comfortable with this mix and minimize our North American exposure. In terms of time charter equivalent, as of Q3 2025, Capesizes $22,018 a slight decrease from Q3 2024. Panamax fleet $15,032 slightly increase relative to the Q3 '24 numbers. Ultramax/Supramax fleet $13,618 a drop from Q3 2024. Overall average $14,629, which is a drop from the Q2 '24 figures. And if you look at the 9 months figures, this average has further dropped down. However, we are fairly confident that the chartering market should stay robust and numbers should slowly improve, especially in 2026. Daily vessel running costs of owned vessels as of Q3 2025. The total running cost plus depreciation, plus finance cost, $8,927. And as previously explained, the finance cost has increased due to further debt drawdown of sales and leaseback. Depreciation has lowered because we have a lower number of ships. Running costs it's because of the new vessels coming online. In terms of outlook, we are cautiously optimistic. We're forever cautious, I don't know why we're like that, but we are seeing cycles. We are very careful. We -- even when the stars shows that they are going to align, we will always remain cautious because this is a very risky industry. But we see stable and robust demand for dry raw materials. Because of the aging global fleet profile, we have been embarking on a search for renewal opportunities. And I've explained what we have been doing for the past 9 months. Going forward, we will continue to look for renewal opportunities. We are cautious. One of the reasons is because uncertainties remain given from the economic perspective -- macroeconomic perspective, a lot of large economies, the economic growth is somewhat slowing down. That's number one. And of course, this is something that we are all very familiar with. There's a lot of potential geopolitical risk that remains. And we need to be aware of and we need to stay alert. We have been disposing off older vessels to beef up our balance sheet, in order to stay nimble, in order to stay flexible, should we see attractive opportunities going forward. That is all from me and I shall take any questions that you may have.
Wei Ching: Thank you for your question. Rising China, Japan tensions. If you look at our trade routes, I think we have been selecting fairly neutral routes in order to try to minimize any potential disruptions for our business. Right now, I mean, in terms of identified routes, ports most at risk, so far, we don't think the Asian ports is -- will be high risk. The more high risk will be more the Middle East, Ukraine, Russian related ports, Red Sea, et cetera. There -- to be honest, there aren't much changes to insurance premiums or security costs, to be honest. If there are any business that we require us to go to visit any ports that are questionable. Well, number one, if you go to an unsafe port or if during journey before you arrived, the cargo that was destined to, let's say, port A, and it's suddenly declared as unsafe port, you have to divert. Otherwise, there will be additional, let's say, more premium, more risk insurance that we will have to purchase, but this will be borne by charters. Majority of our business we do -- we conduct through the time charter mode, so in terms of time charter contracts. So such additional costs, even for example, arm guards will be borne by charters. I hope that answer your questions. But right now, I don't think the tensions between China, Japan, is not something that is at the very top of the risk, priority risks. I think -- hopefully, I think that it will ease down. No one has any further questions? Not even dividend policy? The one some -- I think some of you have your favorite question is the dividend policy. But I can give you the answer right away. We will just have to wait for the Board of Directors' decision if there is any dividend at the end of the year? There you go. Okay. I think the -- what we have done, I have tried my best to explained and it should be quite clear. I would describe it as almost like we want to refresh our assets and enter the new -- pretty much a new start, a new cycle with better assets for -- and better serve our customers and hopefully will generate better returns for shareholders. If there are no further questions, this all from me. And I wish all of you a good day in Europe. And good afternoon, good evening in Asia. Thank you.